Operator: Good day and welcome to the First Bank FRBA Fourth Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Patrick Ryan, CEO please go ahead.
Patrick Ryan: Thank you. I'd like to welcome everyone today to First Bank's fourth quarter and full-year 2020 earnings call. I'm joined today by Steve Carman, our Chief Financial Officer, Peter Cahill our Chief Lending Officer and Emilio Cooper, our Chief Deposits Officer. Before we begin, however, Steve will read the Safe Harbor statement.
Stephen Carman: The following discussion may contain forward-looking statements concerning the financial condition, results of operations and business of the First Bank. We caution that such statements are subject to a number of uncertainties and actual results could differ materially and therefore, you should not place undue reliance on any forward-looking statements we make. We may not update any forward-looking statements we make today for future events or developments. Information about risks and uncertainties are described under item 1A, Risk Factors in our Annual Report on Form 10-K for the year ended December 31, 2019 filed with the FDIC. Pat, back to you.
Operator: Patrick are you muted?
Patrick Ryan: Yes. Hi, thanks. Sorry. So, since we're at year-end, I'd like to take a couple of minutes to expand the lens a bit and focus on the bigger picture. It takes time to build a great bank, thankfully when we got started a dozen years ago we started off having a great base of contacts and potential customers. For several years, we focus primarily on growing the business both organically and through acquisition. Understandably that focus put pressure on our funding sources. Then heading into 2020 on the heels of completing our fourth acquisition in five years, we began to shift our mindset from an early-stage company focused on customer acquisitions, growth and scale to a more mature model with greater focus on bottom line results. To achieve that goal, we laid out a plan that included solid, but more moderate loan growth even sharper expense control and major funding cost and mix improvement initiatives. I'm pleased to report that despite the operational challenges and credit uncertainty from the pandemic, we were able to deliver strong results consistent with those strategic priorities, while also contributing meaningful dollars to our allowance for loan losses. The most important foundational change during the year came in the funding side of our business. We wanted to significantly lower our funding costs relative to peers and improve our mix. We did both. Our cost of deposits dropped to 0.50%, non-interest bearing deposits now make up over 22% of our total deposit base, up from 16.8% at the start of the year, and CDs now account for just 27% of total deposits down from 40%. So I'd like to talk a little bit about results for the year. As many of you have seen our earnings release now, we had excellent revenue growth in a difficult rate environment. Our net interest income for the year was up almost 20% and we got there in an interesting way, our interest income benefit from loan growth was basically offset by the declining earning asset yields as a result of the lowering rate environment. But the major reduction and improve deposit mix drove our overall deposit cost down significantly, which led to that almost 20% increase in net interest income. We were also able to realize significant growth in non-interest income that category was up almost 60% in 2020, compared to 2019. Loan swap fee income and gain from recovery of acquired loans helped drive that outperformance. We also stuck with our trend of strong expense control during the year, overall non-interest expense was up only 2.6% compared to the prior year. That growth rate increases to closer to 13% if you back out the merger-related costs form 2019, but obviously that 13% expense growth is well below the revenue growth of 20%. We did see elevated provisioning in 2020 to help build the pandemic :rainy day fund.” Total provisions in the year were $9.5 million, which is up about $5.5 million from the prior year or an increase of 140%. As a result of that added provisioning, our allowance to non-performing loan ratio actually increased 243% by year-end. Also during the year, we had PPP fee income amortization of $3.3 million, which helped to partially offset the increase in the loan loss provisioning and reserves during the course of the year. Regarding the quarterly results, I'll let Steve, Peter, and Emilio dive into the details a little bit. I'd just like to make a couple of quick comments. I'd would mention that even though there are a lot of different unusual one-time items during the quarter both from a revenue and expense side. The actual results came in I think fairly close to what we would consider to be a core number. Specifically, I'd like to highlight what we saw in the margin, obviously our stated margin increased significantly from the third quarter where our margin was 3.23%, and our margin in the fourth quarter was 3.56%. Those numbers are obviously impacted to some degree by PPP interest income and PPP fees. So I'd like to share a couple of rough calculations that we did where when we looked at the third quarter if you actually adjusted for PPP, we think our cortical core margin in the third quarter was probably closer to 3.3%, and if you do that same calculation what you see in the fourth quarter because we had an acceleration of fee income amortization with the significant loan forgiveness that happened during the quarter that core margin was probably closer to 340 to 345, but still significant 10 to 15 basis point core improvement in the margin during a difficult operating environment something we're quite proud of. And we also think that our quarterly pre-tax numbers that we achieved in the fourth quarter should be similar or a consistent in what we think we can do heading into the first and second quarter of next year. So looking forward to 2021, I have a couple of brief comments, obviously COVID remains a big unknown, but the downside risk today will quite manageable compared to some early stress test scenarios that were run. Our lower funding costs should continue to offset lower earning asset yields, and if it materializes a steeper yield curve could actually help drive some margin expansion during the year. PPP income and expense management will go a long way towards offsetting the potential impact of any higher credit costs that could materialize as we continue to work through the impact of the pandemic. As we look into next year, we still have about $3 million unamortized PPP fees from the initial round of funding that happened in the spring, plus we're also estimating at this point that as we work through applications during the first quarter of this year with the new round of PPP that we could generate up to an additional $3 million in fees, based on the demand we're seeing from the current program. Now, not all of that $3 million might get recognized in 2021 based on the timing of the amortization and forgiveness. We believe that will have opportunities to revisit the overall level of the allowance as a strong economic rebound materializes, and we've also taken steps to make sure that our expenses remain under control. We announced the closure of two branches late last year, and we've also recently terminated a lease that came due for back-office space here in our hometown in Hamilton, New Jersey. As a result of all that, we do believe that overall EPS growth for the year could come in 20% to 25% higher than what we realized in 2019. At this time, I'd like to turn it over to Steve Carman, our CFO to discuss the financial results in a little more detail.
Stephen Carman: Thanks Pat. As we entered 2020, we had several key financial objectives, which included enhancing net interest income and core profitability through the continued generation of quality commercial loans while lowering our cost of funds by growing non-interest bearing deposits and lower cost commercial deposits. Effective expense control was also our priorities. As reflected in our full-year 2020 and fourth quarter results, we were able to achieve these objectives in a much different business environment than we originally projected. Net income for 2020 was $19.4 million or $0.97 per diluted share, compared to $13.4 million or $0.69 per diluted share for 2019. The increase in earnings of $6 million excluding the impact of merger related expenses associated with the Grand Bank acquisition, which closed on September 30, 2019 was primarily due to net interest income growth of $11.2 million or 19.2% and higher non-interest income. Average loan growth for 2020 of $336.1 million was the primary contributor to the $5 million increase in interest income. Lower interest expense of $6.2 million was driven by a 62 basis point decline in the cost of interest bearing liabilities principally interest-bearing deposits. Partially offsetting this higher net revenue was a higher provision for loan losses in higher non-interest expense due in part to the full-year impact of certain Grand Bank expenses. Our higher provision for loan losses of $5.6 million for the comparative period was due to the uncertainty created by the pandemic. That said, our asset quality metrics remain strong and stable at December 31, 2020. We finished 2020 on a strong note with net income of $6.2 million or $0.31 per diluted share for the fourth quarter 2020, compared to $5.2 million or $0.25 per diluted share for the same 2019 quarter. The primary driver of Q4 results was net interest income of $19.7 million for that fourth quarter, an increase of $3.5 million or 21.8%, compared to $16.2 million for Q4 2019. Lower interest expense on deposits was the principal driver for the growth in net interest income for the comparative period. Our cost of deposits for Q4 2020 was 50 basis points, which is now in line with our peers, which is a reduction of 89 basis points from our cost of deposits of 1.39% for Q4 2019. Our net interest income has been supported by a stronger net interest margin. Our margin has steadily improved since the significant lowering of interest rates in March. Our tax equivalent margin for the fourth quarter of 2020 was 3.56%, compared to 3.34% for Q4 2019, an increase of 22 basis points. The improvement in the margin was primarily due to a 103 basis point decrease in the cost of interest bearing deposits, partially offset by a 58 basis point reduction in earning asset yields particularly loans, and a notably different in much lower interest rate environment. On a linked quarter basis, our tax equivalent margin for the three months ended December 31, 2020 was 33 basis points higher than our margin for the three months ended September 30, 2020. The improvement in margin was primarily due to both an increase in our loan yield due principally to PPP loan fee amortization and a further drop in the cost of interest bearing deposits, which declined 65 basis points in the fourth quarter. A decline of 26 basis points from Q3. We are projecting a modestly declining cost of funds over the next several months based on the current interest rate environment, which we believe should translate to a modestly improving margin as we move in May 2021. Throughout 2020, we've taken actions to effectively manage the level of non-interest expense growth. During 2020, we manage the timing of new and replacement hires, which resulted in a slower growth rate in salaries and employee benefits, our largest component of non-interest expense. The current business environment has translated also to lower marketing and travel and entertainment costs. Effective management of expenses has contributed to a lower efficiency ratio. Our efficiency ratio of 52.54% for Q4 2020, compares to 5.264% for Q4 2019. For the entire year, the efficiency ratio is 53.21%, compared to 57.28% for 2019. Looking to 2021, we expect continued Effective Expense Management with projected quarterly run rate of about $10.5 million for non-interest expenses. We are well positioned to build upon 2020 results as we enter 2021. We expect continued strong net interest income growth based on projected loan growth and a modestly higher margin driven by lower interest expense. Combined with strong asset quality metrics in ongoing expense control, we expect to move performance metrics higher during 2021. Next to discuss lending results as Peter Cahill, our Chief Lending Officer, Peter?
Peter Cahill: Thank you, Steve. As outlined in the earnings release, total loans in 2020 reached $2.05 billion obviously assisted by $190 million in PPP loans, which we begin funding in the first quarter and which stood at year-end after some of forgiveness by the SBA at a $137 million. I think the major story in the numbers for the lending area was our growth in the fourth quarter exclusive of the impact of PPP forgiveness. You might recall that last year our fourth quarter growth was a negative number declining a bit due to large payoffs in our commercial real estate portfolio. This quarter, however, was the opposite. After growing our portfolio, approximately $50 million in the third quarter we followed that up with growth of almost $97 million exclusive of the PPP forgiveness. That's a big quarter for us. It came from a combination of C&I loans and investor real estate loans. If you strip out the impact of PPP altogether in 2020, loans grew by $187 million well above our growth goal for the year, that $187 million if my calculations are correct represents growth outside of PPP in excess of 10% for the year. I think timing did help us a bit at year-end 2020, we had a number of loan prepayment scheduled for December that did not take place, those prepayments as they push to the first quarter of 2021, so we'll see some prepayments as we head in the 2021 offset by normal loan generation plus the addition of new PPP loans that we have in process. In any event, if we do experience some slower net loan growth initially, I'm confident that with our backlog we'll make up for that as we move further into the year. Regarding our backlog for new business right now, as you can probably guess we're in the middle of the second generation of PPP loans and that's keeping us busy. Our estimate at the moment for new PPP loans as Pat alluded to it was around $100 million to $110 million, and we feel pretty certain that we're going to reach that level. Outside of PPP, we have - I'd call our normal business and our pipeline for these non-PPP loans continues to be in good shape. At year-end, adjusted for probability, the pipeline stood at $142 million, that's down a bit from the previous month understandable due to the large number of loans booked and removed from the pipeline in December. And the level of $142 million in the pipeline is still in line with the 12-month average through 2020 around $154 million. Other item on the pipeline is worth mentioning is the level of C&I business in comparison to investor real estate. Like many community banks much of our portfolio is tied to real estate lending including investor real estate, we've been working hard at finding new C&I relationship, which will help us drive deposits as well as loans and as such, we set a target a while ago to get investor real estate at or under 50% of our pipeline, and at year-end and actually for each month during the fourth quarter, investor real estate loans have trended down just under 50% in the 40% to 49% range. I could also comment on asset quality briefly, there is a lot of good data in the earnings release and Pat and Steve both mentioned it, I'll just reiterate that things are looking pretty good. Nonperforming loans are down, charge-offs for the year were up only slightly basically in line with 2019. SBA loans at year-end were down due impart to loans impacted by the COVID-19 pandemic where we've agreed to defer loan payments. The allowance for loan losses, exclusive of PPP, which began the year around 1% ended up at 1.25%, unchanged from the third quarter. Our deferral loans related to COVID-19 are outlined in the release as well from a high point earlier in the year where deferred loans approximated 25% of the total loan portfolio. Deferred loans at year end dropped to $37 million or 1.8% of the portfolio. We are in continual contact with this diversified group of customers and we're very optimistic with these things improved deferred loans will continue to shrink. All in all, compared to where we thought we might be six to nine months ago we're very pleased with where things are as it relates to the impact of COVID-19. As we always have and continue to monitor the portfolio closely our underwriting standards have tightened a bit. Obviously, the impact of the pandemic has created the need to not only review our customers did historically, but to also focus on how they are doing right now and couple that with what they think is going to happen as we move forward. So in summary, I think lending had a very good year in 2020 all things considered. We learn to deal with the challenges of being out of the office, and working remotely, but still getting our jobs done. We assisted many small businesses with PPP loans and payment deferrals related to the pandemic. And we stayed on top of credit administration in order to keep up to speed on the quality of the loan portfolio. In spite of these challenges we grew - the portfolio at a very good rate. As we look forward to the 2021, we believe we're starting the year with good asset quality. We're prepared to help our customers with a second round of PPP loans and we intend to grow as we have in the past. That's it from my fourth quarter lending report. I'll now turn it over to Emilio Cooper to discuss deposits. Emilio?
Emilio Cooper: Thanks Peter. We entered 2020 with the set of ambitious goals to accomplish on the deposit side of our business. Our objectives were as follows reduce cost of funds to get it in line with our peers, grow non-interest bearing commercial and money market balances, improve the deposit mix increased fee income and create efficiencies while improving execution in our branch network. We answered the challenges presented by the pandemic made tactical adjustments, and in the end exceeded our objectives. Total cost to deposits, was reduced to 50 basis points as of 12/31. This brings us in line with our peers. It's important to note, we track closely our performance versus our peers. And this is the best performance relative to our peer group that we have had in the past six years, which represents the work we did in 2020 to accelerate better than our peers the rate of the reduction. It represents a reduction of 89 basis points from Q4, 2019 when our cost of deposits was 139 basis points. We utilize the opportunity provided to us through our strong growth in non-interest bearing savings and money market balances to aggressively reduced pricing on CDs and liquid accounts over the course of several months. Our team played a huge role in managing expectations with customers as we worked rates downward. As a result, we were able to mostly limit attrition by design to our CD portfolio. As Steve indicated, we expect to see additional reductions in our cost of deposits through the first half of the year as CDs reprice lower, and we continue to execute on our strategy to grow non-interest bearing and low cost core deposits. As highlighted in our release, we grew non-interest bearing balances by over 50%. Money market and savings combined were up 45%, total deposits grew by 16%. This strong performance led to significant improvement in our deposit mix. Non-interest bearing accounts went from comprising 16.8% of total deposits up to over 22% by year end. Time deposits were reduced from comprising 41% of total deposits down to 28% for the same period. Growth in commercial deposits was well timed. We were able to leverage the enhancements to our cash management platform to establish primary operating account relationships. This helped to boost our service fees collected on deposit accounts by over 20% for the year. We restructured our retail leadership team coming into 2020 which powered our performance on a number of key initiatives. The major benefit of this change was the improvement and our ability to execute quickly and effectively with skilled leaders who were embedded in our branches in each of our key markets. In Q4, we announced the permanent closure of two of our branches located in the Hamilton market. Customers of these branches have been - being serviced since April of last year at our other two locations that are equipped with drive-throughs located just minutes away from each of these locations. We do not expect any material attrition due to these closures for those reasons. As I've shared on previous calls, we made strategic investments and added resources to our business, banking and cash management teams in 2019. These investments returned huge dividends for us in 2020. Primarily, it enabled us to capitalize on the new customer acquisition opportunity that was presented when we stepped up and fill the need for many commercial prospects, who had grown frustrated with their existing bank relationships during the first round of PPP lending. Our team was prepared and worked collaboratively to capture this business, which accelerated our acquisition of core operating accounts. I applaud our deposit and lending teams for working so strongly together in 2020 to jointly accomplish these fantastic results. Our team does an incredible job engaging with our customers, actively managing their relationships and providing superior customer service. They persevered in the face of adversity and emerged victorious, best of all, we go into 2021 stronger than ever and poised for performance. Back to you, Pat.
Patrick Ryan: Thank you, Emilio. At this point, I'd like to turn it back to the operator to open up for the question-and-answer session.
Operator: [Operator Instructions] The first question comes from Nick Cucharale with Piper Sandler. Please go ahead.
Nicholas Cucharale: Good morning, guys. Hope you're all doing well.
Patrick Ryan: Hey, good morning Nick.
Nicholas Cucharale: So I wanted to start with expenses. It looks like you had some performance related compensation as the best price and throughout the year? Is that $10.5 million quarterly run rate a level you can get in the first quarter or you feel like work down that run projects [indiscernible]?
Patrick Ryan: Yes that's a - it’s a good question Nick. I think it's important to clarify that the increase in expenses in the fourth quarter really was more of an accrual catch up, when we saw some of the potential downside scenarios early in the year related to the pandemic. We took action at that time to adjust back our accruals and try to, line up our expenses with more of a downside scenario. And so by virtue of doing lower accruals, early in the year, and ultimately finishing the year at a level that we believe turned out to be pretty strong. We had some catch-up to do in the fourth quarter. So that's why you see sort of an outside number on a non-interest expense basis compared to what we've done in the past. It was partly related to the reductions that we had made earlier in the year when things were a little more uncertain.
Nicholas Cucharale: Okay, great. I appreciate the loan growth commentary. I love your thoughts on the mix, given the opportunity is it likely for the growth this year to diversify more out of commercial real estate or is that what the market is giving you at this time?
Patrick Ryan: Well, I'll give you my precept and we'll let Peter add, but listen at the end of the day, given our current size - the mix doesn't shift drastically in any given quarter or quite frankly in any given year. I think we'll continue to be busy with new commercial real estate opportunities. I think we'll also continue to see some pay downs and payoffs in that category. So I think we'll probably have a similar year although it might end-up being a little bit back end weighted in terms of new production given the strong finish we had in Q4 of ’20 and some payoffs, we know that are coming in Q1. But I'm also optimistic that we'll have strong growth in C&I and owner occupied. So, hopefully we'll see a little bit of maneuvering of the mix towards C&I and owner occupied but I don't know that it would be a huge difference. Certainly, the relationships and connections we've developed through PPP should help accelerate that a little bit. But it's also important to note that C&I tends to be smaller loans, tend to be lines of credit that aren't always fully drawn. So, you're not going to see massive shifts in that portfolio overnight. But, Peter why don’t you jump in and add anything you think would be relevant here?
Peter Cahill: Yes, I mean you've covered it pretty well, Pat for Nick. But yes, I mean when I say C&I, I really see C&I kind of your classic C&I, allows your credit term loans, but also owner occupied real estate. It's like basically, I view the business as being investor real estate, C&I, then 10% or less for us has been consumer. We pointed RMs a couple of years ago now, at with goals and objectives that are much more focused on C&I business. I mean we have a separate group that follows investor real estate. And I think that's kind of paid off where the RMs are out there focusing on C&I related stuff. So we're always going to be doing investor real estate, it's always going to likely be 45% to 55% of our business any time of the year. But that's basically it.
Nicholas Cucharale: Okay, and then swap fees took a breather after being elevated in the middle of the year? I know, it can be difficult to predict. But given what you're seeing, is your expectation outlines strengthens off in fourth quarter level?
Patrick Ryan: Yes, I mean, I would say you probably get a bounce back. But it's certainly, it's lumpy in terms of one or two sizable deals could generate significant fee income. I don't know, Peter, from the pipeline, is there any visibility you have there, at least in the first half of the year?
Peter Cahill: I don't have it in terms of dollars. But I do sense out, like you, I think you were suggesting passes. I know, in recent weeks, we've approved a few deals that are tied, pricings tied to a swap. So yes, it's lumpy, it's going to be our, tends to be the larger real estate deals, a better ones. And they don't always flow through this even a pattern as we'd like. So, I think we’ll be back for sure.
Nicholas Cucharale: Okay, and then lastly, just given where cash balances are at the end of the year, can you give us some color on how you're thinking about your liquidity position and the potential timing of deployment?
Patrick Ryan: Steve, you want to take that one?
Stephen Carman: Sure, I think, Nick as we take a look at it, we've been kind of managing to a level of, somewhere in the $60 million to $65 million in excess liquidity to make sure, we have adequate liquidity. Obviously, as we look at PPP loan forgiveness that has an impact on exactly how that affects excess liquidity. But what we've been doing over the last several months is as we've had some excess liquidity, we've retired some more expensive Federal Home Loan Bank advances, for example, or brokered deposits that we've had at higher rates. So we continue to monitor that based on our loan growth projections, that that's a good sign for us, obviously, because it's a very much of a challenge from an investment standpoint. So I think we're good from liquidity standpoint and we manage that very actively.
Nicholas Cucharale: Thank you for taking my questions.
Stephen Carman: Thanks Nick.
Patrick Ryan: Thank you, Nick.
Operator: The next question comes from Christopher Keith with D.A. Davidson. Please go ahead.
Christopher Keith: Good morning gentlemen, how are you?
Patrick Ryan: Good, good. How are you, Chris?
Christopher Keith: Good, good. So I think I'd like to just dig little deep into the loan growth. We've had some good news over the last couple of months vaccine, some stimulus. When do you think that kind of translates back into pre-pandemic growth?
Patrick Ryan: Well, I mean, it's hard to say at a market level. I'm not sure how much demand right now is being cut back based on uncertainty and other things. Certainly, in general, the capital markets have been pretty, pretty active and pretty strong. More specifically, the First Bank, I think we haven't necessarily seen a big, big drop-off in activity in our markets. There are certainly sectors of commercial real estate where there's significant uncertainty, but there's other areas that are very robust in terms of their development. So, we really haven't seen a drop-off in activity. And I don't know that we're obviously hopeful, like everybody else, that the vaccine distribution starts to pick back up. And that we're looking at a much better situation from a health perspective, six months from now, but I don't know that that's going to necessarily translate to a significant change in loan demands in our market. And we're busy, and we think we can hit our goals based on current levels of demand.
Christopher Keith: Got it, got it, thanks. And then I guess, just look at the deposits composition, time deposits, do you feel that you have more room to move down in either the absolute balance or the cost of deposits?
Patrick Ryan: Yes, I mean really I could answer better, but I think the answer is we probably have seen most of the mix shifts that we're going to see maybe a little bit more, but we continue to reprice our CDs lower. And during the early part of the year, the price reduction was drastic, and we saw some runoff. That seems to be stabilizing. But Emilio, why don't you jump in and add a little color on that?
Emilio Cooper: Yes, I would agree with Pat’s comment. What we're seeing is we're being able to at our current price levels, retain at 80% of our CDs that come due. So we may see some continued slight reduction. But we're backfilling strategically with brokered CDs that are way less expensive than what we're finding in the market. But the first half of the year, we have about $250 million balances that are coming due that are still priced significantly higher than the rates that we're going to renew them at. So that was that our comments relative to where we expect to see continued reduction in costs through the first half the year.
Christopher Keith: Got it. You got $250 million in the first half of the year, and you expect to retain around 80% of that?
Emilio Cooper: Exactly.
Christopher Keith: Got it, got it. Thank you. And then I guess guys if I could in terms of the securities portfolio and follow-up question whether the, I'm not sure if you're finding attractive rates in this environment. But obviously, anything is better than the kind of 10 basis points at the Fed. So what are your thoughts around continued, you took the securities portfolio down in 4Q, but what are your thoughts around that?
Patrick Ryan: Chris, it all centers around our liquidity position, right, so we have no desire for liquidity position bumps up based on loan forgiveness to sit at that as you said the 10 basis points. However, we're very opportunistic. We're generally buying mortgage backed securities, where generic type of marketable securities, where the yield is anywhere between, I'll say, 110 and 125. So we still like to take a look at that opportunity. So we kind of balance that with our liquidity position. And if the opportunity presents itself, we'll probably be looking to get into the market.
Christopher Keith: Got it. That's great. Thanks for taking my questions.
Patrick Ryan: Thank you, Chris.
Operator: The next question comes from Bryce Rowe with Hovde. Please go ahead.
Bryce Rowe: Thanks, good morning, guys.
Patrick Ryan: Hi, Bryce.
Stephen Carman: Good morning, Bryce.
Bryce Rowe: Wanted to maybe drill down a little bit on the cost of funds. And really appreciate you, you noting the $250 million coming due here over the next six months, just curious where those are priced right now. And then where you kind of see current pricing for that type of deposits?
Emilio Cooper: Yes, so it’s highest we’re offering in the market is 50 basis points. And on average, those are going to be coming due off of rates that are right around the 105 to 110 space.
Bryce Rowe: Okay. That's helpful. That's great. And so I think you mentioned some potential upside here to the NIM on kind of on a core basis when we stripped out everything that's going on with PPP? Just wanted to kind of get a feel for what's behind that that expectation? I mean, is it the core or the funding costs coming down? And then what are the expectations from a kind of a core loan pricing perspective? Where are you originating loans today?
Patrick Ryan: Yes, so just to be clear, we don't have enough visibility to know that the margin is absolutely moving higher. But I think our view on the opportunity for margin enhancement heading to next year is better than it was for a couple of reasons. One, we think we'll continue to see some benefit of some reduced funding costs, with the stretching out of the yield curve, we're hopeful that that will reduce some of the pressure on the pricing for new loan production. And then obviously, if that yield curve expansion and or the long-end of the curve starts to move even higher, that could certainly mean even better news from a margin standpoint. So at this point, I think we feel like there's the potential for upside in the margin, if you look at 340, being kind of a rough, rough estimate as a core excluding PPP. My expectation is, is that that number is going to move a lot higher in the next year. But I think if we can keep it at 340, compared to where we were earlier in the year, we're at a size now where every couple basis points in margin leads to meaningful bottom line improvements. So, I don't suspect that we'll see huge margin expansion, I think we've probably already seen more than I would have thought if you'd asked me six months ago, I was sort of hopeful that the margin would improve. And, if you'd asked me then whether we would have gotten to 340 core in the fourth quarter, and I said, that sounds ambitious. So I think in some ways, the good news is we've already squeezed a lot of the juice out of that orange and has left us in a pretty good position as we're heading into 2021. But there are scenarios where we could see it even improve a little bit more as we move forward.
Bryce Rowe: Okay, that's helpful. And maybe Peter, you can take the question about where your originating loans today. And I also wanted to ask you obviously, nice, nice healthy loan growth from a core perspective in the back half of 2020. That's a bit counter to, I think what you might see from most participants in the industry, so just kind of curious what's the source of the growth is in terms of market share takeaway, newer clients, and how you're going about sourcing those new loans?
Peter Cahill: We’re sourcing new loans is, really been the same thing we've been doing all along, it's really, it's been a combination of additional/new business with existing, excuse me, customers as well as on the C&I side, a few new customers that we brought in, where instead of our average C&I loan again, including owner occupied real estate may be less than a million bucks to $1 million, you bring in a couple of $5 million to $6 million C&I loans near the end of the year, that's going to help drive that number. So it was decent marketing on the part of our ends. And working with existing customers who are involved in new projects, that kind of thing. From a pricing standpoint, again, most of our loans, if they're longer-term real estate related, or we fix them, we've tried to fix a rate for five years, we will do a 15 to even 25 year AM, depending upon the asset quality. But, we're probably in the 3.5% to 4.5% fixed rate range right now, floating would be different, put floors on those two. So they can due in five years to get repriced, we won't get caught into treasuries plus 250 kind of scenario like we might today.
Bryce Rowe: Okay. Okay, that's helpful. See, and then wanting to ask about, you guys have given some good information on what you expect for this round three of next round of PPP. In terms of kind of the pace of forgiveness, we were almost a month into the first quarter now, just wondering if the pace of forgiveness has picked up relative to what you might have seen in the fourth quarter. And then on that point, what's the loan the balance of loans in the PPP bucket that are in excess of $2 million?
Peter Cahill: Well, forgiveness actually has slowed, with the onslaught of new applications in the second round, I mean I think the SBA came out the other day, and even stated that they're not going to be addressing forgiveness for a while until they keep process on first round, so they can get their hands around processing the second round. So, I see that slowing early on, as far as the amount, funny the average size of the loans we're looking at, I think the first round, our average loan size is around $178,000. This so far in the second round, it's $172,000. So it's amazingly, amazingly similar. But as far as over $2 million, I don't have that we did a handful over $2 million. I mean, less, less than five in the first round. And I think we've seen one in the second round so far. I don't have that data in front of me.
Bryce Rowe: And, Peter, the reason I asked that is we've heard that and we know that the SBA is, adding scrutiny in terms of the forgiveness process for those loans. So, it may, may take even longer with those loans over $2 million. So that's why I asked that.
Patrick Ryan: Yes, Bryce, I think you'd also asked about kind of where we are in the process. And I think we've submitted over 50% of those first round loans for forgiveness. I don't know, Steve, you might know. But how many of those we've actually gotten forgiven, but I think we were at roughly $135 million at year-end versus the $190 million, that's about 55 out of $190 million. So, little over 25% already been forgiven, another 25% has already been submitted for forgiveness, and you got roughly half that, the borrowers still need to complete their forgiveness applications.
Bryce Rowe: Okay. And I would assume Pat that you guys are reacting to those borrowers in terms of completing those apps, and getting the apps into you all to start that that process?
Patrick Ryan: Yes, I mean we've streamlined it a fair bit. I mean, the first time around, everything we were doing was sort of the old fashioned manual paper based system. And we had some time in between the original application forgiveness to work with a technology company to get a portal and a website set up. And so I think that part of it on the forgiveness side seems to be working fairly well, partly because the forgiveness process is just a lot more spread out right. You had, we had over 1,000 applications within a few weeks period on the front end, whereas now the applications for forgiveness are coming in a few a week or what have you. So it's just much easier to manage it.
Bryce Rowe: Yes, okay, okay.
Patrick Ryan: I’d add we’re not seeing a lot of issues in terms of forgiveness applications getting kicked back or denied. So I think that's good.
Bryce Rowe: Yes, that makes sense. I wanted to ask one more just on the level of deferment, obviously, you call it out. The deferment in the press release, I was curious, with the nature of the deferment, are they P&I or just interest only and then what maybe what's the outlook there, and if you get to a point that you can't necessarily defer anymore do you see them moving into that TDR bucket? Just trying to get a gauge for what charge-off activity or loss activity might be relative to those deferments? Thanks.
Patrick Ryan: Yes, I mean it's hard to say but what I would tell you sort of in general is, for the most part, anybody that’s still on deferral is at least paying interest only. So kind of the natural evolution was, folks got T&I for 90 days, some that needed another 90 days, some of them went to interest only, some of them got another 90 days of P&I, but almost everybody went to paying something, if they got a deferral that extended them into 2021. So I think that's good news, as folks have the capacity and wherewithal to at least resume making payments in some fashion, and based on what we're looking at and hearing from our borrowers, they all feel confident that once the vaccine is distributed and things return to somewhat normal that they believe their businesses will come back on track. So, we don't have any situations where we did a deferral, but we just know, it's a dead end, and it's not going anywhere. And I think every case, the deferrals were granted, because we got strong operators, great history, good, good personal strength and guarantees behind the deals. And, we felt comfortable that there was a very good business case for why this borrower would be strong on the back end of this. So, all that being said, I think that means we're optimistic or don't think there's big known issues where these companies won't have a chance to come back. But obviously, there's uncertainty there. So we're going to have to keep a close eye on it.
Bryce Rowe: Got it. That's helpful. I appreciate all your comments. Thanks a lot.
Patrick Ryan: Great, thank you, Bryce.
Operator: [Operator Instructions] The next question comes from Erik Zwick with Boenning & Scattergood. Please go ahead.
Erik Zwick: Good morning, guys.
Patrick Ryan: Good morning, Erik.
Erik Zwick: I apologize if any of my questions have been answered already, been bouncing back and forth between a few calls this morning. I want to circle back on the expense discussion. And I heard that in your earlier comments about most of the fourth quarter increases, being due to the comp line and the accrual of some of the incentive comp. I'm just curious, as we move into 2021, when do you award merit increases? And just trying to figure out, what's kind of the starting run rate for the expenses that we get back to that $10 million level where you had been running? Or is there some natural inflationary pressures from some other sources in there as well?
Patrick Ryan: Yes, I think you hit the nail on the head, there are definitely some natural inflationary pressures. I mean at the moment, I don't think they're as strong as they might be. But it is pretty standard for us in February and March to make structural adjustments and or look at promotions were warranted et cetera. So, there must always be a little bit of a hiccup in not always fully reflected in the first quarter because those changes get finalized towards the end of the first quarter, so they tend to show up more in the second quarter. But we’re factoring all of that in, we sort of estimated that 10.5 was the decent run rate for quarterly expenses, factoring in some of those adjustments, we just talked about.
Erik Zwick: Great, thanks, thanks Pat there. And then turning back to the loans in terms of the 5% to 7% outlook that was mentioned in the press release. Is that inclusive or exclusive of the PPP? I guess kind of, outflows here at the beginning or kind of inflows and outflows that will be?
Patrick Ryan: Yes, that’s a good question. Important clarification, that is sort of the way we think about it is, Peter described, “our normal business”. So the 5% to 7% is looking at our loan portfolio exclusive of PPP. So sort of where that book of business was at the end of the year, and then what we think we can do in terms of net growth, specifically related to that core business. So actual loans, we don't really know, right. I mean, some of the old PPPs are going to get forgiven, we'll fund some new ones, I don't really know. And we're not modeling PPP impact in any of that, with the exception of understanding that there'll be some additional fee income. So the 5% to 7%, sort of just on the core business.
Erik Zwick: Great. And then last quarter, you have mentioned, some projects underway to increase deposit related fees, just curious any update you can provide on those and what type of impact we might see to the income statement that the fee income from those efforts?
Patrick Ryan: Yes, I mean, I think it's sort of little things here and there. So I think you'll see some slight benefits, but I'll let Emilio talk more specifically to some of the more, the more critical initiatives there. I think they're going well.
Emilio Cooper: Yes, so we did launch this as we talked about it, some initiatives related to increasing our fees on deposit accounts. And we’re seeing a nice, a nice boost. But they were small, I mean one of the specific initiatives related to our remote deposit capture, and making sure that we were collecting fees appropriately in line with the marketplace, we executed on that towards in the third quarter. And we're continuing to monitor the impact of that, but that certainly drove some slight improvement in the fourth quarter, we also tightened up our rebate policy on overdrafts. And that represented a nice boost for us and some opportunity there as well as our check reordering policy. So we're continuing to review and look under every rock for opportunities relative to the competition where we can enhance our ability to collect, what is fair. And I would expect that we're going to continue to see modest improvement in our service fees, particularly as volume returns relative to what we had seen when the pandemic hits. I would expect to see continued growth for this year in that category.
Erik Zwick: Thanks for the color, Emilio. That was helpful. And then just last one from me just thinking about uses of capital. And 2021 sounds like you're fairly optimistic about opportunities for organic loan growth, but then looking for alternate uses, such as buybacks, and potential acquisitions, and then maybe even any market expansion, if there's any markets that you're not in today that you've got your eye on, so just how you're thinking about that in the coming year?
Emilio Cooper: Yes, I mean I think certainly with the plan growth and the improved profitability, I think our capital base right now is strong. And with strong earnings, we continue to replenish that capital base. And we continue to think that opportunistic M&A can be a good way to use capital and drive earnings and drive value creation. But quite honestly, our current stock levels makes it more difficult. So, I'd say our primary focus is just on executing the buyback. We think the shares at these levels are very attractive. And I'd say that's the primary and then as it relates to organic growth, I mean we're always on the lookout for good bankers who can either open new markets for us or help us take share in our existing markets. So I'd say that's just kind of standard. It's not a special capital allocation class. If we have good business opportunities that can generate a good return on investment, we’re constantly looking for those so.
Erik Zwick: Excellent. Thanks for taking my questions this morning.
Patrick Ryan: Great, thank you, Erik.
Operator: This concludes our question-and-answer session. I’d like to turn the conference back over to Patrick Ryan for any closing remarks.
Patrick Ryan: I just like to thank everybody for joining the call and thank the group that asked great questions and we'll look forward to regrouping with everybody at the end of the first quarter. Thank you very much.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.